Operator: Good morning, ladies and gentlemen. Welcome to the conference for Keppel Limited's Second Half and Full Year Financial Results for 2025. We have on the panel this morning from your left, Mr. Manjot Singh Mann, CEO Connectivity and CEO M1; Mr. Louis Lim, CEO of Real Estate; Ms. Christina Tan, CEO of Fund Management and Chief Investment Officer; Mr. Loh Chin Hua, CEO; Mr. Kevin Chng, CFO; and Ms. Cindy Lim, CEO Infrastructure. We will begin the session with presentations by CEO, Mr. Loh Chin Hua and CFO, Mr. Kevin Chng followed by the question-and-answer session. Mr. Loh, please.
Chin Hua Loh: Thank you. Good morning. 2025 marked a year of strong progress for Keppel. Against a turbulent and uncertain global backdrop, we stayed focused on growing the New Keppel's and are seeing the results of our transformation as a global asset manager and operator, delivering strong returns to our limited partners and shareholders while creating real assets and solutions that meet the world's pressing needs. The New Keppel delivered a very strong set of results. Net profit soared 39% year-on-year to $1.1 billion with improvements across all business segments and record earnings from the Infrastructure division. Our funds under management grew from $88 billion a year ago to $95 billion at the end of 2025, well on track towards achieving our target FUM of $100 billion by end 2026, if not earlier, while asset management profit increased 15% to $189 million during this time. We also made good progress in asset monetization with $2.9 billion of divestments announced for 2025, bringing the total monetization announced since October 2020 to about $14.5 billion to date. At the same time, we continued to position Keppel to benefit from powerful global macro trends -- megatrends, such as the growing energy needs amidst increasing digitalization and the AI wave with new power generation capacity and an expanding data center power bank of over 1 gigawatt in Asia Pacific. We delivered broad-based earnings growth across all 3 segments: Infrastructure, Real Estate and Connectivity, with the Infrastructure segment accounting for the largest share of the New Keppel's net profit in financial year 2025. Just as importantly, the quality of our earnings continued to strengthen with recurring income from asset management and operations $41 million in financial year 2025. Including the noncore portfolio for divestment and discontinued operations, overall net profit for financial year 2025 was $789 million compared with $940 million for financial year 2024. This was mainly due to the $222 million accounting loss arising from the proposed sale of M1's telco business. As Keppel transforms and the market increasingly values the company based on the New Keppel's earnings, net profit of the New Keppel rather than overall net profit will become the more relevant measure of Keppel's performance. During the year, our expanding base of recurring income, coupled with continued progress in asset monetization contributed to a healthy free cash inflow of $611 million. This is an improvement from financial year '24 when our free cash inflow of $901 million had benefited from the one-off net cash of over $1 billion received from the consolidation of Asset Co. Reflecting our growth as an asset-light global asset manager and operator, the New Keppel achieved a return on equity of 18.7% for financial year '25 compared to 14.9% a year earlier. As at the end of December '25, the net debt-to-EBITDA of the New Keppel was a healthy 2x lower than the 2.3x at the end of 2024. We will continue to be prudent and nimble in capital management, keeping our operations and cost efficient amidst the volatile landscape. As at the end of 2025, we achieved about $98 million in annual run rate cost savings since we started streamlining the company and sharpening our focus at the start of 2023. This puts us on track to achieve our stretch target of $120 million per annum by end 2026. Part of these savings are being reinvested into growth areas aligned with the New Keppel, including developing enterprise-wide digital and AI capabilities that will help entrench our strong competitive advantage while doing more with less. With a clear focus on optimizing both the pace and exit value of our divestments, our Accelerating Monetization Task Force continued to focus on unlocking capital with the announced monetization of about $2.9 billion in assets in 2025, including the proposed sale of M1's telco business, which is pending regulatory approval. Meanwhile, we also completed transactions with a gross monetization value of about $1.6 billion in 2025. As at end 2025, our total asset monetization announced since October 2020 had reached approximately $14.5 billion, while our noncore portfolio for divestment stood at $13.5 billion. Looking ahead, we'll continue to work towards substantially monetizing our noncore portfolio by the end of 2030. Proceeds from monetization will allow us to further reduce debt, fund the New Keppel's growth as well as return capital to shareholders. In 2025, Keppel delivered a total shareholder return of 58.5%, supported by strong performance, distributions and a rerating of the company that reflects the market's increasing recognition of our transformation and growth strategy. Since the launch of our $500 million share buyback program in July 2025, we have repurchased over 13 million Keppel shares for a total consideration of $116 million. Reflecting Keppel's commitment to a steady and sustainable dividend strategy, we have said that the company will pay ordinary dividends based on the New Keppel's performance. In addition, we aim to pay out special dividends based on 10% to 15% of the gross value of asset monetization transactions completed in the financial year until our monetization program is completed. The actual percentage will depend on the company's growth plans as well as cash generated. In appreciation of the support and confidence of shareholders, the Board has approved -- or has proposed a final ordinary dividend of $0.19 per share in cash bringing the full year ordinary cash dividend to $0.34 per share. This represents a payout ratio of about 56% and of the New Keppel's net profit for financial year 2025. Considering the strong progress in monetization achieved, the Board has further proposed a special dividend amounting to approximately $0.13 per share, comprising $0.02 per share in cash and 1 Keppel REIT unit for every 9 Keppel shares held, which is equivalent to approximately $0.11 per share based on Keppel REIT's closing market price of $0.98 on the 3rd of February 2026. This special dividend proposed is approximately 15% of the completed monetization of $1.6 billion for financial year 2025. In all, we will be distributing total dividends of approximately $0.47 per share for financial year 2025, up 38% from financial year 2024, which represents a yield of approximately 4.3% based on Keppel's closing share price of $10.95 last evening. I will now run through some of the highlights of the New Keppel's developments during the year. Our asset management business continued to gain momentum in 2025. We generated $453 million in asset management fees while FUM reached $95 billion by year-end -- but growing at a compound annual growth rate of about -- both growing at a compound annual growth rate of about 20% over the past 5 years. As our platform scaled, we have seen a clear strengthening of Keppel's standing with global institutional LPs. Today, we are working with a growing group of established pension and sovereign wealth funds, financial institutions and endowments across the world from Asia Pacific to the Middle East, Europe and North America. We are seeing more LPs initiate conversations with us, reflecting growing recognition of Keppel's track record and differentiated capabilities. During the year, active fundraising by our private funds, together with portfolio expansion across our listed REITs and infrastructure trust, added $10.1 billion of new FUM. In Europe, Aermont Capital continued to perform well and has begun marketing Fund VI, with first close targeted in the first half of this year. Across our private and listed vehicles, we completed $11.4 billion of acquisitions and $2.9 billion of divestments during the year. With a deal flow pipeline of $33 billion, we see a strong run rate to deploy capital and expand our asset management income. Looking ahead, a more inflationary environment accentuated by tariffs and trade restrictions is expected to sustain investor demand for real assets with steady cash flow that can also serve as a hedge against inflation. This continues to favor alternative real assets aligned with long-term macro trends, such as the energy transition, digitalization and the AI wave, which Keppel has deep expertise in. Against this backdrop, LPs are placing greater value on asset managers who can originate differentiated opportunities and with proven expertise in operating such critical assets. As energy and digital infrastructure solutions become larger, more complex and more capital intensive, Keppel's integrated ecosystem positions us well to originate, develop and scale such projects alongside institutional investors beyond what our balance sheet could otherwise have been able to support. Within our operating platform, Infrastructure continues to be a sturdy pillar of quality earnings. Underpinned by recurring income, which grew at 51% CAGR over the past 4 years, the Infrastructure division delivered record recurring earnings of $703 million in financial year 2025. Its integrated power business delivered resilient EBITDA of $661 million backed by long-term contracted capacity, disciplined contracting and strong operational performance, even amidst softening spark spreads. Meanwhile, the decarbonization and sustainability solutions business has performed extremely well, achieving an EBITDA of $130 million, up 32% year-on-year, surpassing our earlier projection of $100 million in 2025. Our Infrastructure division has successfully built an asset-light and fast-scaling new engine underpinned by long-term contracts, which will bolster recurring income in addition to earnings from the integrated power business. As at end 2025, around 67% of our Infrastructure division's power generation capacity is contracted for 3 years or longer. The 600-megawatt hydrogen-compatible Keppel Sakra Cogen plant, a key proprietary asset within our infrastructure private fund is on track to commence operations in first half 2026. And this capacity has been already fully contracted for 2026 and 2027 after factoring in the required market reserves. The Sakra plant will strengthen recurring earnings, demonstrating our ability to scale advanced infrastructure with an asset-light model. We also continued to build scale in our nonpower infrastructure businesses. Long-term supply contracts grew by over $1 billion year-on-year to reach $7.1 billion by end 2025, with revenues to be earned over 10 to 15 years. A case in point is the Hong Kong Integrated Waste Management Facility, which is now at an advanced stage of testing and commissioning. With a 15-year operations and maintenance contract, it reflects the kind of strategic and complex infrastructure that Keppel is able to deliver and operate. Our deep operational capabilities also underpin our progress in digital connectivity. We believe that AI remains in the early innings of adoption and value creation. Scaling AI requires real infrastructure, such as power, data centers and subsea connectivity, and this is where Keppel can contribute and seize opportunities. A key enabler of our digital infrastructure strategy is data center power banking, which allows us to deliver shovel-ready capacity, significantly shortening time to development and service readiness. We are positioning ahead of the digitalization and AI megatrend by investing upstream to secure early and exclusive access to power, water and fiber connectivity at strategic sites in key data hubs. In January this year, we expanded our data center powerbank in Asia Pacific from around 300 megawatts to over 1 gigawatt, with the addition of a prime site in Melbourne earmarked for the planting of a future 720-megawatt AI campus. We're in active discussions with hyperscalers and neoclouds, and interest in the Melbourne site has been encouraging. At scale, our more than 1 gigawatt of power bank capacity, when fully activated, has the potential to translate into about $10 billion of data center FUM, supporting the continued growth of Keppel's asset management platform. Beyond data centers, we achieved an important milestone with the Bifrost cable system, which commenced carrying commercial traffic in December 2025. Our first 2 fiber pairs, already committed to customers, contributed to earnings towards the end of last year. Last month, we signed a binding term sheet term sheet with a customer for another fiber pair. Over its 25 years operating life, Bifrost is expected to generate, on average, about $200 million in operations and maintenance fees per fiber pair for Keppel, adding a new stream of long-term recurring income. At the same time, we'll continue to grow our technology solutions and services business, which, together with our digital infrastructure expertise, enables Keppel to participate in the full value chain, serving both hyperscalers and enterprises. Alongside infrastructure and connectivity, our real estate division contributes to sustainable development through providing solutions and services for future-ready energy-efficient assets. In 2025, the division recorded total Real Estate-as-a-Service revenue of $98 million, deepening its pivot to an asset-light model. Looking ahead, both the energy transition and the scaling of digital and AI adoption will require substantial capital and deep execution know-how. By leveraging our strong fund management and operating expertise, we can mobilize institutional capital effectively and undertake such projects at scale while offering attractive investment opportunities to our LPs. To conclude, the New Keppel performed strongly in 2025. Earnings grew and asset monetization continued to gain momentum. In addition, we are returning capital to shareholders through ordinary cash dividends as well as special dividends. As we execute our strategy, the market increasingly recognizes Keppel as a global asset manager and operator, which is reflected in the continued re-rating of the company. Looking ahead, while volatility and geopolitical uncertainty are likely to persist, Keppel has built strong foundations and is well positioned to deliver digital and low-carbon solutions that the world needs as well as strong returns to our LPs and shareholders. This bodes well for our future. Our CFO, Kevin, will now take you through details of the company's financial performance. Kevin?
Chee Keong Chng: Thank you, CEO, and a very good morning to all. I shall now take you through Keppel's financial performance. Overall net profit for financial year 2025 was $789 million, 16% lower than the $940 million for financial year 2024, due to discontinued operations, which I will elaborate later. Consequently, ROE was low at 7.4%. Net debt to EBITDA was lower than last year-end, mainly due to lower net debt. Free cash flow (sic) [ inflow ] was $611 million as compared to $ 901 million in the prior period, as financial year 2024 benefited from the consolidation of Asset Co's cash balances of about $1.07 billion. Excluding cash balances from Asset Co, our free cash flows have improved by $780 million. In financial year 2025, Keppel recorded stronger cash inflows from operating activities as a result of lower working capital requirements as well as higher divestment proceeds and dividends received. These were partly offset by higher investments and CapEx during the year. Excluding noncore portfolio for divestment and discontinued operations, net profit of New Keppel was $1.1 billion, significantly higher as compared to $793 million in financial year 2024. Discontinued operations net loss of $227 million in financial year 2025, mainly arose from a loss on remeasurement of M1's telco business, net of cessation of depreciation and amortization following the classification of M1 telco as a disposal group. To provide greater clarity on the performance of New Keppel, in the next few slides, I will present our financials, excluding the effects of noncore portfolio for divestment and discontinued operations. Net profit of New Keppel increased 39% year-on-year to $1.1 billion. All 3 segments achieved higher profits. Infrastructure continues to be the largest contributor to New Keppel's earnings, followed by Real Estate and Connectivity. With the stronger earnings, ROE improved to 18.7% from 14.9% a year ago. Supported by increase in EBITDA and a lower net debt, net debt to EBITDA of New Keppel improved to 2x as at end December 2025 from 2.3x as at end December 2024. Free cash inflow for financial year 2025 was $177 million. In line with our focus on growing recurring income, New Keppel generated healthy cash inflows from operating activities. Cash inflows from operating activities, divestment proceeds and dividends received were reinvested to fund investments in sponsor stakes as well as acquisitions and capital expenditure. As a result of better performance from asset management and operations, recurring income rose 21% to $941 million from $739 million a year ago. New Keppel also recorded higher valuation and capital recycling gains during the year from higher fair values on investment properties and investments as well as monetization from real estate and connectivity. Moving on to our segmental performance. Infrastructure segment recorded a net profit of $803 million, 18% or $125 million higher than the $678 million in the previous financial year. Asset management net profit was lower at $46 million compared to the previous year mainly due to the absence of performance fees and transaction advisory fees recognized in financial year 2024, as well as lower acquisition fees from Keppel Infrastructure Trust. These were partly offset by lower costs, divestment fees from KIT and higher management fees from KIT and from private funds. Stronger operating income was supported by higher contributions from decarbonization and sustainability solutions as well as sponsor stakes and co-investments. These were partly offset by lower earnings from integrated power business as a result of lower contracted spreads. The segment also recorded net valuation gains from sponsor stakes and co-investments in 2025. Real Estate segment achieved a net profit of $273 million, a significant improvement compared to the net profit of $107 million a year ago. Asset management net profit of $93 million was $31 million higher year-on-year, driven by acquisition fees in relation to Keppel REIT's acquisition of an additional 1/3 interest in MBFC Tower 3 in Singapore and an interest in the retail mall in Sydney. There were also higher management fees following the first close of Education Asset Fund II and high contribution from Aermont as well as lower cost and interest expense. Operating income improved $45 million year-on-year, mainly due to higher contributions from sponsor stakes and lower financing costs, partly offset by higher losses from senior living business. In 2025, real estate recorded higher valuation gains from sponsors stakes and co-investments and also recognized net gains from the partial disposal of Saigon Centre Phase 3 in Vietnam and the disposal of One Paramount in India. Net profit from Connectivity segment of $175 million was 17% or $26 million higher than $149 million in the prior year. Asset management net profit was 47% higher year-on-year at $50 million, driven by higher management fees following the acquisition of 2 assets by Keppel DC REIT and the first close of DC Fund III, both in December 2024 as well as carried interest earned from Alpha Data Centre Fund. Operating income of $35 million was $9 million higher than prior year, mainly due to higher contributions from Keppel DC REIT following contract renewals and acquisitions of assets at the end. The segment recorded lower net fair value gains, mainly due to fair value losses on sponsor stakes in private funds, partly offset by higher fair value gains from a data center investment in Keppel DC REIT. Gains of $84 million were recognized in 2025 from lease extension of Keppel Data Center Campus, Singapore and from the sale of 2 fiber pairs of the Bifrost cable system upon receiving Ready for Service status. Net loss from noncore portfolio was $84 million as compared to net loss of $6 million a year ago. Net loss of legacy O&M assets of $156 million in financial year 2025 was mainly due to interest costs attributable to legacy rigs and impairment of fixed assets, partly offset by fair value gain from Seatrium shares and foreign exchange gains, interest income and tax provision buybacks. For financial year 2025, the property-related noncore assets registered a net profit of $119 million mainly driven by gains from divestments in China and Vietnam, which were partly offset by operating and fair value losses on investment properties and losses from development projects. Investment and others recorded net loss of $47 million, mainly from fair value losses on investments, partly offset by gain on disposal of Computer Generated Solutions, Inc. in the United States. With that, we have come to the end of the presentation, and I shall hand the time back to CEO for the Q&A session. Thank you.
Chin Hua Loh: Thanks, Kevin. Before we take questions -- wait a minute. I recognize you. Before we take questions, I would also like to mention that we have just announced this morning that Mr. Danny Teoh will retire as Chairman of Keppel's Board immediately after the company's upcoming AGM on the 17th April 2026. Mr. Piyush Gupta will be appointed Non-Executive Chairman and Independent Director of the company on the same day. I'd like to express my deep appreciation to Danny for his strong support and counsel since he joined the Board in 2010 and over the years, when he served as Chairman of the Audit Committee and subsequently as Chairman of the Board. Danny's leadership and support were pivotal as Keppel undertook significant transformation to pave the way for its future growth. Since joining the Board last July, Piyush has provided valuable advice in the sharpening and execution of Keppel's strategy. I don't think it's any one's surprise. The Board and management look forward to Piyush's leadership and guidance as we accelerate Keppel's transformation to create value for our limited partners, shareholders and other stakeholders. We'll now open the floor to questions. And Mervin, you have the floor.
Mervin Song: Mervin from JPMorgan. Congrats on the super strong results. I think the special divi, I think everybody is quite pleased with that. It looks like you're taking the mantle the Superstar CEO in Singapore from your new Chairman. So congrats on that. In terms of -- thank you for the clarity in terms of how much you pay out in special divis going forward, 10%, 15% divestments. But in terms of helping us model the special divi for this year, any clarity in terms of quantum of divestments? Or should we do $13.5 billion by 5%. And in terms of buybacks, should we be assuming 50,000 shares to be purchased every day as we saw last second or fourth quarter last year? Or you think you can buy a bit more? I presume you'll tell me that the share price is still undervalued again. Second series of question I have is in regards to Infrastructure segment, another question where you can share with us the quantum of decline of spark spreads. Do you still expect spark spreads would normalize in FY '26? And in terms of decarbonization, it seems to be doing very well, but do you have a quantum in terms of exit run rate for end 31st December? I do note that EBITDA was $130 million last year.
Chin Hua Loh: Well, thanks. I will address the first 2 questions, and then I'll ask my colleague, Cindy, to address the questions on Infrastructure. First and foremost, I think the -- for the monetization, just to be very clear, the special dividends that is tied to monetization is not based on what is announced. It's actually based on what was actually realized in financial year 2025. So what that means is that of the $1.6 billion that was realized in 2025, of course, there were some that were announced in 2025 itself and got completed last year. But there were also some that were announced earlier, say, in 2024, that only completed in 2025. So just to be very clear, it is based on what is announced -- sorry, what is completed in the financial year. So I think we have already also made a statement consistently that the noncore portfolio for divestment is to be substantially monetized by 2030. So that's -- and I don't think that we can give any projections whether it's a straight line because some of these assets can be quite lumpy. So I think that's kind of how we would look at it. What was your second question?
Joo Ling Lim: On share buyback.
Chin Hua Loh: Share buyback. Okay. So on share buybacks, I can't really comment. I think we have been -- we've only so far expanded about $110 million or so. So we still got a fair bit to go. These share buybacks do serve a purpose to fund our share plans as well as to be a source for us to use as currency if we do any M&A. So as to the amount that we will buy back, I think I'll leave you to watch the market over the next period. But clearly, on share buybacks, we're also quite careful. So if there are any blackout periods or we're in possession of PSI, the share buyback will cease. Cindy?
Joo Ling Lim: Happy New Year, Mervin. Right. The integrated power business has indeed performed well. We have delivered resilient performance amidst softening spread. To your question about the spread, we expect the spread to stabilize. However, to avoid the volatility of our integrated power earnings, we have diligently focused on long-term contracting strategy. As you have seen in our presentation by CEO, more than -- about 67% of our capacity has been contracted for more than 3 years. On top of that, we are also diligently expanding our generation capacity. Our Sakra Cogen is on track to complete commissioning by first half this year. Sakra Cogen is fully contracted for 2026 and 2027. So you will be able to see that our entire power generation fleet in Singapore is by far the most efficient with H-Class and the 2 F-class having been upgraded. This will continue to provide resilient EBITDA earnings from our integrated power business. We are not resting on our laurels. We are also focusing on how to expand integrated power business beyond what you see in Singapore. Your question on the carb and sustainability solutions business. Indeed, we have clocked in very strong book-to-bill ratio. And the long-term contracted backlog is about $7.1 billion to be delivered over a period of 10 to 15 years. In fact, the weighted tenor is about 10.2 years. This will translate into strong resilient EBITDA over time. And we have embedded AI in our origination proposal generation as well as subsequent operation efficiency. So I expect with this flywheel of a strong book-to-bill, growing top line, this will deliver not just EBITDA growth but also EBITDA margin growth. Thank you.
Mervin Song: Let's say you annualize the 31st December day revenues, what would it be? I presume it's more than $130 million.
Joo Ling Lim: Our book-to-bill ratio is about 3.6x.
Chin Hua Loh: Okay. Now there are a couple of questions online, but let's deal with some of the questions.
Goola Warden: I'm Goola from the Edge. So I've got a couple of...
Chin Hua Loh: Sorry, can you repeat again?
Goola Warden: I'm Goola Warden from the Edge, and I have a couple of capital management questions of which you've answered the pipeline for monetization this year to Mervin. And I just wanted to ask whether the special dividends will include units in Keppel DC REIT, KIT and core given that, well, core has the 6% overhang of core units from the liquidation of Pacific Oak special opportunities REIT to that bond default. So that's the first question on -- and secondly, with the Sakra plant since it's been fully contracted for this year and next year, would it be offered to KIT? Or at what point -- I mean, is it a pipeline for KIT? And at what point could it be?
Chin Hua Loh: Well, to your first question, the -- there are no current plans to include any other units that we hold of the REITs and trusts for future special dividend payout. To your second question, on Sakra, we -- currently, Sakra is held by a private fund together with our balance sheet. We obviously will look as the unit gets commissioned and is ready for service in the first half, sometime for this year. We will look at opportunities to monetize it for the fund. Where it's going, we have not -- there are no current plans to put into KIT or any of the other -- we could also potentially put it into another fund.
Goola Warden: Just one last question. You've not completed the divestment of M1, but you booked the loss in this year's FY. Was there a reason for that?
Chin Hua Loh: I'll ask my CFO to explain.
Chee Keong Chng: Yes, that's purely just an accounting sort of treatment given the announcement that we have for the intended sale and we qualified the parameters for us to classify that as a disposal group, which is why it's under discontinued operations.
Chin Hua Loh: Yes. Brandon.
Brandon Lee: Brandon here from Citi. Just a couple of questions. Just going back to Goola's point, right? So if you look at for this year, the special div of about $0.13, right, $0.11 did come from K-REIT, right? But if you were to look backwards, taking this away, it seems that the K-REIT shares were used to sort of back up that 10% to 15% of GAV that you intend to pay out. So going forward, let's say, if there's not enough cash on the divestments to achieve the 10% to 15%, will K-REIT or any other stakes in your listed entities be used to sort of mitigate that loss?
Chin Hua Loh: I don't think we look at it this way. I think it's part of our capital management. And we will then decide, first and foremost, what percentage of the monetization. And we've given a range of 10% to 15%. So it depends on what are the needs for our growth because as we mentioned, when we monetize the noncore portfolio, it goes into 3 things. One is, of course, reduce debt. And secondly, of course, is to fund growth in the New Keppel. And last but not least, is to return capital to shareholders. So we will have to look at all that before we decide. And after we decided what percentage, then we will look at whether it's part cash, part in species distribution. So that will be decided at that point in time. But there are no current plans to -- as I mentioned to the lady from Edge, there are no current plans to do anything additional in species, whether it's K-REIT or any of our REIT holdings.
Brandon Lee: Okay. So essentially, what shareholders need to know is that you will stick to your 10% to 15% of GAV as special dividend. That's all we need to know, right?
Chin Hua Loh: Yes. And this is based on what -- as I just -- to be very clear, it's not based on what's announced, but what's completed.
Brandon Lee: Yes, yes, of course. So hopefully, you complete double the amount this year.
Chin Hua Loh: I hope so, too. That's the plan.
Brandon Lee: Just following on to next question on property. So I realize for FY '25, you did book in some fair value losses on both your IP and your DP. Could you share a bit more color on that? Also, if you look at the real estate New Keppel side, the operating income started turning into black. So does this mark a turnaround in terms of the earnings?
Chin Hua Loh: Kevin?
Chee Keong Chng: Yes. Thanks, Brandon. We don't go into the specifics of detailing what we took impairments on. But fair to say that as we do every year, I mean, we will go through all our investment properties and make an assessment based on the valuations that we get. There is some softness, particularly in some of our China assets that we did take. The second part to your question around the real estate operating profits. If you look at our real estate business today, a large part of it is in sponsor stakes. So it really depends on the performance of the investments that we make. And a large part of that for the results this year is driven by some of those contributions. And obviously, we will continue to focus on that. I mean if you look at our results, the real estate segment as a whole has done very well this year.
Chin Hua Loh: Louis, anything you want to add?
Lu-yi Lim: Yes. No, I think I was going to second that the sponsor stakes become very important for us. But I think across the kind of New Keppel Real Estate-as-a-Service business, that's something that we've been focusing on growing as well. So our urban solutions business, our sustainable urban renewal business, our retail business as well as the senior living business that we bought in the U.S., as you know, we just completed that in March 2025. So we're seeing that really turning around, and we're looking forward to enjoying the tailwinds of that segment in the U.S.
Chin Hua Loh: Okay. It's between Siew Khee and Tan Xuan, I know you can go -- one can go first.
Xuan Tan: Xuan from Goldman here. First question is on 2026 net profit. SGX has clarified that actually forward guidance is allowed. It's also encouraged. Can I ask whether you could kind of guide us on net profit? If not, maybe what are the broad key drivers and also risks to look out for? Second question is on Keppel South Central. Can you share what is the carrying value? And when do you think that will be ready for divestment? Last is on legacy REITs. Can you elaborate a bit more on the interest cost? And also what is the time line on monetization? And if not, then what is the run rate of loss that we should expect from this?
Chin Hua Loh: Well, I read the same article as you did. We're not quite ready to give forward guidance on earnings. What I will say is that the New Keppel is still growing. Of course, there are a lot of challenges out there. But I think the main -- if you look at how our business is now positioned, one of the main drivers is really on funds under management. So if we continue to see the growth and we can turn those funds under management into fee income, that would obviously help our 2026 earnings. And we are seeing quite good traction on the fundraising side and also on the deployment side, as I've shown in the slide. At the same time, I think the operating division will also have some task ahead of them to continue to perform well. So I think once you have the FUM growing and you have -- and we continue to operate strongly in the various segments that we're in, Infrastructure, Connectivity and Real Estate, then that will power our growth for 2026. But I'm not, at this point, able to give you any guidance on what to put into your model. On -- let me see on KSE yes. I think the carrying value, we don't disclose. The leasing is doing well. I think the truth is that KSE is an investment property or would be an investment property when sold. So in order to achieve a good outcome, we will need to raise the occupancy rate. Louis and the team has done a great job pushing for that. I think we have gotten quite good traction, particularly in the last few months. Maybe I just invite him, you want to share a bit on KSE leasing.
Lu-yi Lim: On the leasing front, we're about 50% committed or at very active levels of negotiation already. So we do look forward to being in a position in the near to medium future to be able to figure out monetization path for this asset as well.
Chin Hua Loh: And I think our -- the rents that we are seeing is also improving. As we've seen from various reports, the central CBD office core office rents are actually tightening. So we're in the right market, so to speak. So I think getting the occupancy up is crucial. Then after that, we'll then look at potential monetization. On legacy rigs, this is something that we are obviously very focused on. We do want to find a way to monetize this. But I think the market now, I would say, the jack-up rigs in the last few months in terms of day rates have started to improve. Of our 6 rigs that are now working, 4 or 5 of them are being recontracted and the rates are about 8% to 10% higher than what it was. These are bareboat charter rigs. So we are quite encouraged by that. On the floaters, the market is still a bit soft, but we expect that to improve towards the end second half of this year. So we are watching this space very closely. There are some inquiries, whether to buy or to lease. So something that we are working on. Siew Khee?
Lim Siew Khee: Just following up on the Asset Co. So previously, we mentioned that we might actually look at pairing down stake of ownership of Asset Co into funds. But now we're talking about inquiries to buy and lease assets. So which is more likely in the near term?
Chin Hua Loh: We -- the truth is that we are exploring all options. I think the focus now, not unlike what we just mentioned about KFC. I think if you look at the offshore rig market, we believe that with no new supply coming on, and older rigs becoming obsolete over time, the supply of rigs will tighten. So until day rates improve significantly, you will not justify new rigs being built. So I think we are sanguine about the long -- medium- to longer-term outlook for rig prices. At the same time, I think the key now is whilst we are waiting for this market to -- the capital markets or the prices to improve on the rigs, we will put the rigs to work. And the jack-up rigs that we put to work has been very successful. So now the goal will be to try and see whether we can bareboat charter the other rigs. And then once that happens, potentially, it could actually be attractive to an investor because you've got cash flow, right? Now in the meantime, if someone turns up and said, look, I'm interested in buying a rig and if the price is right, we will obviously be opportunistically looking at that as well.
Lim Siew Khee: Okay. Just going to connectivity and M1. Why is there a delay? And maybe you can just share -- I know you are waiting for IMDA approval, but is there any issue in terms of infrastructure, customers? When do you expect it to be completed?
Chin Hua Loh: You and I are waiting. I think the truth is that this is quite -- I think you have to let the regulators do their work. So the process has to take place. We still remain very confident that the deal will get done. It's a bit delayed. I'm just as impatiently waiting as you are. But as I said, we have to wait. We have to let the regulators do their work.
Lim Siew Khee: So on connectivity, so the gains that you have actually recognized for the 2 pairs of Bifrost is already in second half. So -- and then, of course, in your comments, you said that the capital recycling is split of gains from lease extension of KDC campus as well as the Bifrost pairs. Would you be able to actually give us a bit of insight? Is it towards the latter or the former? The overall $84 million, how do you split between the KBC campus and the Bifrost?
Chee Keong Chng: It's inclusive of both, Siew Khee. We can't give you the split between the 2.
Chin Hua Loh: But I think given that Bifrost is still quite new in terms of even the cables that are operating, the O&M fees and et cetera, will be more towards the end of the year. Then I would say that most of it will be from -- the bulk of it will be from the lease extension.
Lim Siew Khee: Okay. Sorry, I just have 2 more questions. One would be, I know that you said that monetization pace is lumpy. But last year, you were very helpful. You actually did guide us that there would be $500 million of assets to be monetized in the second half. And I think you did that, I guess, the property trading is what you meant back in the first half. So maybe you can actually just guide us on whether you would be able to do equally $1.6 billion to $2 billion of amortization this year, excluding B 1.
Chin Hua Loh: Well, the truth is that we want to do more, but a lot of these are quite lumpy. So it's very difficult for us to guide because sometimes you guide if you are not -- there are so many pans, frying pans in the fire. So we do not know when we will be ready. So I would say that best to kind of look at it that we've got about now roughly $13.5 billion of noncore assets to monetize. We roughly got about 5 years to do it. So we are working really, really hard. My colleague behind his head of the Asset Monetization Task Force. I better don't tell you who it is case you go and corner him. But we'll work very hard to monetize because I think that's really the key. I think if you look at the results, New Keppel is performing well, continues to perform well. But the noncore -- and we are also doing the monetization. But the key is really we need to get the noncore out of the way so that we can then all focus on the New Keppel. I don't know who's next. Okay. You got a mic. Zhiwei, go ahead.
Zhiwei Foo: Zhiwei from Macquarie. Congratulations on this wonderful set of results. I have 3 questions, one on Infrastructure, one on Real Estate and the last one is more strategy, right? So on Infrastructure, I think on Slide 12, you have this -- you presented your EBITDA numbers for both the integrated power and decarb solutions business. I think it adds up to about $790 million. It's -- first is, do I understand this as the total EBITDA of infrastructure? Because when I compare it against the $405 million EBITDA for infrastructure in first half of '25, it implies a half-on-half decline in your infrastructure EBITDA. So I'm trying to understand what's driving that decline down there, right? And should we expect one of the businesses to increase in FY '26 to kind of offset that underlying decline? That's the first question. Second question is on Keppel South Central. We've been at 50% leasing for quite a while. So could you help us understand what's -- why isn't it moving along faster, right? And the third question is, now that Piyush is the Chairman of Keppel, what great things can we expect from Keppel going forward?
Chin Hua Loh: Okay. Maybe on EBITDA, I'll let Kevin or Cindy, you want to address.
Joo Ling Lim: There are other contribution of EBITDA from the Infrastructure division. Maybe you can take question 2 first, and I'll come back to you shortly.
Lu-yi Lim: I'll take it. Well, frankly, it's a way if I -- every time we give you a number, you latch on to it and then the next time it becomes an issue, right? So 50% was a broad number we gave. But if you listen to what I actually said, the 50% is actually almost done. So it's committed to very active negotiations. And very frankly, as -- we actually -- people who come to the building love it. There's still a lot of tension in the market where people think they can negotiate better rentals from you. We are confident of the product. So we have actually held our prices. If not, we would be actually pretty much fully leased out, right? So I think there is that kind of balance that we need to strike because if you want 10% to 15% of monetization gains, then we also have to uphold the rents to give you that valuation.
Chin Hua Loh: I think Louis's point, I think we have to kind of make sure that it's clear. I recall when we talked about 50%, it wasn't done. The -- I think there was a certain percentage that were done and then the balance were active negotiations. At that time, when we mentioned about 50%. Now you are basically saying 50% is more or less committed. And then, of course, what he doesn't say is that there's more inquiries above the 50% that we're trying to convert. The other point, I think at the end is that when you are trying to monetize an asset, the rents that you obtain is quite important because that will determine what someone will pay in terms of on a per square foot basis using a cap rate approach. So I think that's why the team is -- we don't try to sacrifice rent for occupancy. If it was an asset that you're going to hold longer term in your balance sheet and you don't have any time frame for divestment, then it would be something where you can say, oh, I'll rent it out, whatever, get occupancy up. And then at the next rent renewal, then I will get the rents up. But in this case, we're trying to optimize the exit price. And this is something that I think you have to understand also, even though we are quite committed to -- we are committed to monetize the $13.5 billion, we are not doing a fire sale. We are -- as someone recently told me, he says, even though I know you're selling, I can never get anything cheap from you. So I mean, the point is that we are trying to get a fair value. It's not -- we are not in a distressed situation to sell, but we do want to sell. So we're a motivated seller, but it must be at the right price. So I think these are things that we have to work on to make sure that we get the right outcome for the shareholders. Are you...
Chee Keong Chng: Maybe, Zhiwei, I'll try. Sorry, you just caught us on a question that we typically don't do a lot of analysis on. But first and second half, we just confirmed with the team on an EBITDA basis, it's quite stable. We are quoting $405 million in the first half. And then I think in the second half is $386 million. So marginally quite stable between the 2 halves.
Joo Ling Lim: There's some timings also because some of it is linked to the O&M income from our waste and water business. So you can't really compare half-on-half. But I think it's stable. This is the point.
Chin Hua Loh: So on your third question on Piyush, I think he joined the Board in July. And as I mentioned, and I'm sure it's no surprise to anyone here, he has very quickly gotten to understand the business and has been very actively engaged with the rest of the Board with management. And he has sharpened our look at our strategy and how we can execute better. And I think that's really one of the key -- we are very excited that he's -- he will be taking over -- I must say he will only be taking over as Chairman in April. So currently, I don't know what the news headline says, but it's only after the AGM that Danny will step down and he will take over. As I said, Danny has done a fantastic job guiding us, particularly through these last 5 years as Chair when we went through this transformation. I'm very, very sure that Piyush would add to this in the coming years. So myself, my team, Keppelites, we are all very energized and excited about Piyush coming on as the Chair. Okay. Next, I can't see. Okay. Sure. Sorry.
Rachael Tan: This is Rachel from UBS. Just 2 questions. One is that your 67% contracted capacity for your integrated power business, is it just for Keppel Merlimau Cogen? And does it include Sakra Cogen? And the second question is that you mentioned that you will pay out based on what was transacted in the year. So I note that M1 hasn't been transacted yet. Will M1 be included in your consideration of your special dividend given that it's not actually included in your noncore?
Chin Hua Loh: Cindy?
Joo Ling Lim: Thank you. Yes, it includes the entire Keppel Merlimau Cogen and Keppel Sakra Cogen.
Chin Hua Loh: So you are very sharp, Rachel. You picked up that M1 is not included in the -- well, it was still not classified -- when we started the split in the first half -- at the end of the first half last year, we did -- we still classified M1 under core or under the New Keppel. But shortly after, I think, in August, we announced the sale of the M1 telco side. So short 2 quick answers. I think first it's not included in the $1.6 billion that was monetized and completed last year. Obviously, it's not because it still hasn't been completed subject to regulatory approval. I believe it will be included when it's completed. So assuming it's completed this year, then it'll be completed in the -- it will be included in the monetization for 2026. Yes, Joy.
Qianqiao Wang: Joy from HSBC. Two questions from me. First of all, on data center. Can we talk a little bit about the recent power bank in Australia? What's your plan down south? Also in terms of update of CFA in Singapore, the IMDA calling for another 300 megawatts. Just following on that, if you win more sort of DC capacity, would you want to also increase your generation capacity on the power side on the back of that? If I may just ask. Second question is on Bifrost. You talked about looking at a new system. Can we get an update on that as well?
Chin Hua Loh: Mann, do you want to...
Manjot Singh Mann: So we did announce -- thanks, Joy, for the question first. We did announce the power banking of about 123 hectares in Melbourne. Power banking is a very interesting way of reducing our time to market in terms of deployment of data centers. And what this allows us to do is to power bank close to about 720 megawatts gross power, which is in an area which is quite energy rich as well. So it gives us the opportunity of it being shovel-ready, as Chin Hua mentioned in his opening speech, so that whenever we have active interest from any of the customers, hyperscalers and so on and so forth, we are able to reduce our time to market significantly for them for deployment of the data center. So this is something that we started a year back, this power banking. We had about 300 megawatts in our bank. This adds to another about 700. So it's about 1 gigawatt of power bank that we have. And going forward, we will continue to deploy this strategy across in Asia Pacific so that we are able to, like I said, act very quickly because most of the customers want quick time to market from the time they decide on a location for data centers. So that's our strategy for Melbourne, and going -- that's our strategy going forward as well.
Chin Hua Loh: Okay. On your question about CFA 2 and whether we will -- if we are successful, whether we will use or we will take on additional power projects to power them. CFA 2 is -- I think, it's going to be very competitive. We have a game plan. So unfortunately, I can't disclose it. Okay, Joy? Thank you. Maybe before...
Manjot Singh Mann: Sorry, one last point on Bifrost.
Chin Hua Loh: Bifrost. Okay.
Manjot Singh Mann: So the 2 other cable systems that we are looking at are still under evaluation. These cable systems are quite complex and requires a huge amount of prework in terms of regulatory requirements, landing station partners and so on and so forth. So we are evaluating both the cable systems at this point in time. And we haven't yet come to a conclusion of which one will go first and which one will go second. But at this point in time, the evaluation is quite robust, I must say, and continuing in a very active manner.
Qianqiao Wang: Can I just follow up on the power banking side? How quickly or what sort of conversion ratio should we look at?
Manjot Singh Mann: We haven't yet decided on the conversion ratio. But suffice to say that the moment we power bank a location, we don't power bank blindly because we do understand that this has to be converted into active data centers and capacity utilization. So our work on power banking happens typically in conjunction with the customers that we work with so that we get some kind of an idea of how and when are we going to develop that power bank into an active data center. But we haven't yet defined our ratio at this point in time.
Chin Hua Loh: Maybe an interesting departure here. Some of the -- some of you here would have attended our Keppel NEXT last year. You might recall that we have developed an AI agent that looks at potential sites for data centers. And so this is actually very actively being used by us where we kind of map out all the publicly available information on power, water connectivity and then plus our understanding of what hyperscalers are looking at. And so this is then being used by the group as part of our AI-enabled power banking strategy. Now before I go to Pei Hwa, before I go to that, I think there are a couple of questions online. So if you allow me, I'll take them first, then I'll come back to you. So thank you for waiting patiently. Mr. Tom Taylor of PEI in Australia. Tom has 3 questions, but maybe I'll take each question one at a time. First question, as global managers get bigger through consolidation, example, BlackRock, GIP, where does Keppel win deals where they don't? Chris?
Hua Mui Tan: Okay, sure. Yes. Tom, thanks for the question. I think we are very fortunate that if you can remember that Keppel is a global asset manager and an operator. So unlike the financial GPs in this world where they have to actually go out to buy assets or look for assets, we have our operating divisions that can actually create, develop these assets. So for example, like working with connectivity on data centers, we actually are able to just create the data centers right from greenfield. Similarly, we worked closely with Louis in terms of real estate, providing sustainable urban solutions, greening older buildings and actually increasing the net operating income for such buildings and creating values for our investors. Similarly, for infrastructure as well, we work closely with Cindy's team in terms of whether it's power banking, creating more power plants and also looking at environmental, water, waste and all this. So we are very fortunate that we do not need to just go out competitively to look for assets and deals. We are able to actually source deals internal within Keppel, but also at the right price, I think we will always consider external deals flows when they come through.
Chin Hua Loh: Thank you, Chris. Tom's second question, which parts of the remaining noncore portfolio are proving hardest to exit? I think I kind of touched on it earlier. We -- whether it's hard or not hard, we will find ways to monetize over the next 5 years. I think if you look -- it might be instructive to look at some of the things that especially the real estate group have been able to monetize over the past few years. I think we've monetized assets ranging from Philippines to Myanmar over the last few years. They are tough assets to divest. And I think Louis and the team has done a great job doing that. And at the same time, we have also sold, I think, a piece of land in China in Tianjin last year, and we were able to book quite a significant value gain from that as well. So it's never easy, but we don't do easy stuff, but we'll still get it done. Okay. For projects, third question, for projects like Sakra and the Melbourne -- Sakra Cogen plant and the Melbourne data center power bank, what percentage of development risk is Keppel retaining on balance sheet versus syndicating to LPs? So typically, how this is done is that during the very early stages, Keppel will actually come in with our balance sheet because initially, the amount of capital required is not significant. When we are doing our pre-FEED, we're doing our FEED. In the case of the power bank in Melbourne, this is through options for a lease. with an option to be able to buy later on the freehold. So I think the team has structured quite a clever deal where we are able to minimize our upfront whilst we work through with potential customers. So typically, what happens is that once the project is more or less derisked and frequently, when we have a customer in toll and where we start -- when we complete our FID, that's when the funds come in. And that's also when the capital requirement is much greater. So this is kind of our IP, and that gets LPs very interested to work with us because we can actually provide some of the early risk capital. But the development risk when we start is usually taken together with pari passu with the LPs. Okay. Next question is from Alvin Chua of SG5 Private Limited, Singapore. Over the next 12 to 24 months, which business segment does management have the highest earnings growth conviction in? How do you expect progress in monetizing legacy rigs to support returns and capital recycling during this period? We don't -- I mentioned earlier about the rigs. We're working actively on it, but we don't give projections when that will be done. As far as business segments, I think all my colleagues are equally charged up to do better, correct? Okay. Okay. One more question then before we go to the floor here again. This is from Joel Siew of DBS Singapore. Congratulations on the strong set of results and dividend uplift. He has -- he or she has 3 questions. On Sakra Cogen plant, how does the potential margin compare versus Merlimau? Cindy, you want to answer that or not?
Joo Ling Lim: I think what Joel means is actually we run it as an integrated power business. So instead of looking at it one unit by one unit of power generation, the entire integrated power business includes how diligent we are in contracting gas and the cost of gas, how efficient are we in terms of the power generation units and more importantly, also our portfolio in terms of contracting the type of customer, high-value, high-volume customer vis-a-vis strategic long-term relationship customer and how do we help customer transit to low-carbon solution. This is also reinforcing Joy's earlier question about supporting, for example, hyperscaler or CFA applicants. The bringing green pathway to such high-value, high-volume customer is one of our unique value proposition, including that of the low-carbon ammonia to power Pathfinder project, which we are supporting the regulators and the industry players with. Thank you.
Chin Hua Loh: Okay. Thank you, Cindy. The second question from Joel is, monetization has been outstanding in 2025. Does 2026 look like a better year with falling interest rates? How could you see monetization of your China Tianjin land bank panning out? I think that one is already done.
Lu-yi Lim: We have done the Tianjin. I think they mean the land bank, which we hold at historical cost, right? So at the right opportunity, we'll continue to monetize that as well.
Chin Hua Loh: I think that one is quite interesting. I mean it's -- obviously, the news and I mean, still not just the news, the market is quite challenged at the moment. But SS TEC actually has no debt. I mean, no net debt, has a significant cash balance. So we are not kind of -- in fact, we are very healthy and looking and the land cost as what Louis says, is below market. So we are -- the market may not lend itself, may not be constructive in the near term, but we remain quite positive in the medium to long term. Monetization for '26, we -- the falling interest rates, will it help? Maybe it will help the real estate market to a certain extent. But it won't hurt, I would say. But each of the assets that we have in the noncore that we are trying to monetize will not just happen because the interest rates are lower, but it certainly won't harm us. Third question, are there any new business trust and REITs that could be launched in future? Chris, do you want to take?
Hua Mui Tan: Yes, sure. We will always be open to like new business trust REITs in the future. But actually, for now, our planned strategy is really to scale up our existing REITs and trust. We are ready in the right sectors in the real estate sector, in infrastructure and in the connectivity sector. So I think we're quite happy with what we have right now. The main thing is to -- our strategy is to scale up and to actually improve efficiency and margins so that as FUM grow, our margins will grow and there will be more profits actually for Keppel.
Chin Hua Loh: Thank you. Pei Hwa, over to you.
Pei Hwa Ho: I still have to congratulate you for the good results.
Chin Hua Loh: Thank you.
Pei Hwa Ho: I just had 2 follow-up questions on the infrastructure side. I think, firstly, to confirm what Rachel asked just now, the slides, the contracting profile, taking into consideration the new capacity because that means that the new capacity we have also contracted out for more than 3 years, that's correct. Okay. Then I just try my luck. I just hope that you could give us a bit more color on the power spread, how the new capacity, how is it compared to our average power spread in our existing portfolio? And where -- do we see the bottoming because this year has been under a bit of pressure because of new capacity coming online. So I just wanted to get your sense in terms of outlook and how do we expect your average power spread trending forward? Yes.
Joo Ling Lim: I like other ought to be greener. So this is how we see it. From the Singapore market perspective, it's always a function of supply and demand. And we all know that the existing power generation unit in Singapore is aging, right? And the last -- in fact, we are the first planting for high-efficiency power generation back in 2022. We will be the first to come on stream middle of this year. You would have also heard the announcement from Singapore government about unlocking Jurong Island for 700 megawatts of data center planting. Then you have also heard the push behind electrification as well as attracting more advanced manufacturing investment in Singapore. All these are auguring well for power demand. And besides just power demand, there is more and more requirement for efficiency and reliability. So I think it will be more instructive to look at it from a longer-term perspective rather than the instantaneous you said volatility. So our team -- our retail team and our portfolio and commercial team is very diligent in constructing our contracted base such that it provides that resilience. And remember, I emphasize on high-value, high-volume customer. And for such customer, we work very closely with them in terms of their long-term need -- their long-term growth and also their glide path towards decarbonization. We'll augment it at the right time with our renewable importation. For that, we are also the front runner. And like I said, later on, whether it's ammonia and the like, will also supplement our value proposition to the customer. So that will help from the market perspective. If all GenCos play to the forfeitures which Sing gov has announced, I think we will be able to see quite stabilized spread in the years to come.
Chin Hua Loh: Mervin, you have another question?
Mervin Song: Yes, I've got 3 questions. Maybe we can go to Slide 11. You have 6 funds that you're targeting to raise. Are you able to share the potential FUM for that? And in terms of existing funds in terms of upsizing, is there any particular FUM size that you can share with us? Second part relates to the power bank in Melbourne. What is the source of the power? Is it brown coal? And if it is so, does this provide a challenge in terms of securing tenants or hyperscalers who are a bit more ESG sensitive? And how does the special relationship we have with AWS fit in this power bank? And final question, Chin Hua you still look very youthful for energy and vigor. But in terms of Piyush's mandate, is it -- is he also looking at succession planning? Or do you plan to stay on for another 5 years?
Chin Hua Loh: Can I -- Chris, do you want to deal with the first question on fundraising?
Hua Mui Tan: Yes, sure. On the fundraising, I think we actually have a very fortunate position that we're in the right place at the right time because Keppel is a real assets portfolio. So we have alternative real assets with actually strong cash flows that investors like. And actually, right now, with all the uncertainty in the world volatility that you see, actually, most investors are actually reallocating from the U.S. into Europe and Asia. So I think Keppel is very well placed and positioned in terms of taking advantage of what's happening globally. I think we are still working through very strong tractions, a lot of discussions and negotiations with our investors as well. Even when we want to bring them in, we also want to make sure that we get good fees for that. We don't provide forward guidance on numbers. But I think we are more than confident to go above the $100 billion that we promised by 2026.
Chin Hua Loh: Thank you. Mann?
Manjot Singh Mann: Yes, sure. So for the power bank in Melbourne, Mervin, it has both powers available, brown as well as green. So depending on the customer and the cost and the future plans of the customer, we could find a pathway from brown to green as well if need be. So both power are available in that particular site. And that is why that site is so interesting because if the customer does prefer green, then we are able to provide green power as well. Your question on SFA with AWS, I think, yes, of course, we have an agreement with AWS, but it's not exclusive to either. So we have the ability to understand and work with other hyperscalers, whether from the U.S. or from other parts of the world. So we are looking at their demand and how they would be looking at Australia in their future plans. So for us, while there's an AWS SFA, which is important to us, we also are working with the others. So we'll be looking at how hyperscalers look at Australia and working with any one of them whoever prefers to be in that place.
Chin Hua Loh: Okay. Well, thank you for saying that I still look youthful. Some days, I don't feel that way. I think the truth is that I think Keppel is always run by a team, right? And as any good CEO will tell you, we are constantly looking at succession planning and not just for myself, but for my colleagues as well. I think there is still -- I'm still having fun and there's still, I believe, unfinished business that we need to get done. But at the same time, the time that I serve or how long I serve is really at the -- I serve at the pleasure of the Board. So I wouldn't want to predict anything. But I think so long as I'm here, I'll do my best. And I'm looking forward to working with Piyush. I think he's got a lot of things I can learn from and my colleagues can learn from. So -- let's leave it at that. Yes, one more.
Low De Wei: Can I ask on -- Dexter from Bloomberg here. Can I ask quickly on the noncore portfolio in terms of divestments, do you actually break down how much the divestments or the monetization comes from the noncore portfolio? Because I noted that the real estate supply reduced by $0.7 billion. So is most of that going out through divestments? Or is that through revaluation? That's one of my first questions. On the organic growth, on the $100 billion target, are you expecting more in terms of kind of organic growth in like the fund side? Or is it more in terms of acquisitions? And you guys did a Paramount deal in India. I remember you had plans for India office fund. Is that still in the pipeline?
Chin Hua Loh: Maybe first question, Kevin.
Chee Keong Chng: Sure. The noncore portfolio for divestment of $13.5 billion comprises of many different variables. So we don't split up the details between the different asset classes. I mean, fair enough to say that we have said that the plan is for us to pursue monetization for this bucket, and we will leave it as that.
Chin Hua Loh: Okay. Chris, do you want to deal with the...
Hua Mui Tan: Okay. On the Paramount and India office funds, I think we have a Sustainable Urban Renewal Solutions fund. And in that mothership fund, we can actually create sleeves if we want. So a possible sleeve could be India office. But actually, what we do is we encapsulate everything into like a sales strategy because actually, instead of just doing value adding, I think now we are always looking to turn buildings from brown to green.
Chin Hua Loh: Okay. Your other question on whether it's -- the FUM is -- I think the question was whether the FUM is generated from organic or inorganic. The truth is that last year, I think we already completed the deal with Aermont. We have not done any other deals. So in that sense, we will treat it as all organic.
Low De Wei: Okay. Just 2 big questions -- big picture questions from me. First one on the AI. I know you do a lot of data centers. What's your sense of -- there's been a lot of talk about AI bubbles. Are you -- is that adjusting your strategy in any kind of way in terms of data center investments, et cetera? And secondly, I remember one CapitaLand has said that they are also interested in looking at infrastructure. Have you talked to them at all? Are you concerned that there might be overlap?
Chin Hua Loh: Well, second question, I think we are 2 separate companies. So I think you got to talk to them. So we've been doing infrastructure for quite a long time. I think if you look at since the days when we started, at least 30 years. So it's not something that just happened by and buy. We've been also involved in real estate for many, I think, 50 years. Connectivity, even for data centers, we have been involved since 20-over years and asset management over 20 years. So it's not something that we just suddenly wake up one morning and said, I want to be an asset manager or I want to be an operator. It comes with a lot of track record and history. What was your first question? On AI. So I think I've mentioned in my speech that putting aside any -- I'm not commenting on the valuation of AI-related stocks, but looking at AI as a kind of a macro trend, we still feel that it is at a very early innings. -- because even for ourselves as a consumer of AI, trying to -- looking to embed AI into our organization and into our businesses. Like most companies, we started with a lot of sandboxes maybe 4, 5 years ago. And then in the last 2 years, starting from early 2024, we have started to take it very seriously. And this is starting to adopt what we call an AI-first mindset, not just for FM&I, but across the whole organization, including for our operating division. And what I would say is that for ourselves as a potential user of AI, we see tremendous opportunities. And every time we kind of look at it again, we said, "Oh, wow, this is what it can do. This is -- and it's not just about efficiency gains, but it's really about building core competency or giving us the superpower to do better, become more competitive, whether we are a fund manager or an operator or building infrastructure assets, et cetera. So based on our own experience, I would say that we think the AI journey is still at a very early stage. Okay. Maybe next question from someone else.
Mayank Maheshwari: Mayank from Morgan Stanley. First question was related to GasCo. Now with GasCo coming into play this year, I suppose, how do you think about the impact in terms of your business, both from a spreads perspective as well as competition perspective? So that was one. The second question was more related to the $13.5 billion of assets you have under the noncore side now. What is the related liabilities around it and the debt around it, if you can give us that. And this is more a bit of a question around the total investments that you are doing in the core side of the portfolio, it's around $1 billion this year in 2025. Do you think that trend of slowdown in terms of investments and CapEx around the core side starts to slow further in '26 and '27?
Chin Hua Loh: Cindy?
Joo Ling Lim: Sure. Thank you. With regards to GasCo, we are -- we as an industry is collaborating and working very closely with the regulator in the setting up of GasCo and the implication to us as a GenCo. But bear in mind, the establishment of GasCo is not overnight. This notice that GasCo will be established was given to GenCos nearly 2 years ago. So along the process, we have done the necessary to do what we can to defend our strong gas strategies. Assisting gas supply agreement will be grandfathered. So I think that's the key. Then like I said, ongoing implementation, we will be supporting and working with the GasCo to make sure it is beneficial for GenCos and the sector. Net-net, I think it augurs well because this will put discipline in gas procurement and also avoid the volatility due to small volume buy from some of the gas offtaker. So I think this will be pretty good for us as a market player in total.
Chin Hua Loh: Thank you, Cindy. Kevin?
Chee Keong Chng: Just on the -- I think your second question is about $13.5 billion. That's asset value that we have disclosed. I mean if you recall in the past, when we first disclosed it in the first half, it was $14.4 billion, $13.5 billion. And you will naturally see this number coming down as we monetize. Your specific question is whether -- how much of this is debt liabilities associated with the noncore portion. We don't provide that split publicly. I mean, internally, that's a measure for us. But I think fair to say that, as we have said before, the focus on monetization, it is so important for us because it allows us to do the 3 things that CEO has covered. A large part of it is paying down debt. So naturally, you would sort of assume that a large part of our debt is captured under the noncore sort of portion, but we don't provide that split to the market.
Chin Hua Loh: Okay. We have one last question online, which I propose we take. This is from Derek Chang of Morgan Stanley Singapore. Derek has 3 questions. Okay. First question is -- first 2 questions are on data centers. First question on data centers, are the plans to involve Keppel DC REIT in development opportunities as some other sponsors have done. I think right now, the answer is no, right?
Hua Mui Tan: Yes. I think because our unitholders actually like stable cash use. And I think to make sure that our unitholders are rewarded, I think we prefer to have a stabilized pool of assets to make sure that we give sustainable dividends back to our unitholders.
Chin Hua Loh: Okay. The second question is, can you also share when SGP IX will turn operational and likely right for divestment? Maybe operational, Mann?
Manjot Singh Mann: So the plan is to start construction in 2026, end of 2026. Should be operational about 18 months from there.
Chin Hua Loh: Okay. So this is currently held by a fund. So the fund has -- it's a close-ended fund. So at some point, it will come up for divestment. So at this point in time, it's too early to say when we'll do that. Okay. Third question, does Keppel have a comfort level when it comes to ownership stake in Keppel REIT? Is there further scope to reduce towards 20%, perhaps, especially as you head towards your 60th anniversary in 2 years? Well, very far. Well, the truth is that I think we're very comfortable with the current ownership of stake that we have in K-REIT. So there are no plans to -- current plans to further reduce that, okay? And the 60th anniversary is 2 years. So we'll think about it. Okay. That's all the questions we have. Okay. Great. Thank you all very much for your attention, and thank you all those for attending. Thank you for joining us today. Thank you. Goodbye.
Operator: Thank you, ladies and gentlemen. We have now come to the end of our conference. Thank you again for joining us today.